Operator: Good morning everyone. Thank you for holding and welcome to America's Car-Mart's Third Quarter Fiscal 2020 Conference Call. The topic of this call will be the earnings and operating results for the company third quarter for fiscal 2020. Before we begin, I would like to remind everyone that this call is being recorded and will be available for replay for the next 30 days. The dial-in number and access information are included in last night's press release which can be found on America's Car-Mart's website at www.car-mart.com. As you all know some of our management's comments today may include forward-looking statements which inherently involve risks and uncertainties that could cause actual results to differ materially from management's present view. These statements are made pursuant to the safe harbor provisions of the Private Securities Litigation Reform Act of 1995. The company cannot guarantee the accuracy of any forecast or estimate nor does it undertake any obligation to update such forward-looking statements. For more information regarding forward-looking information, please see Part one of the company's annual report on Form 10-K for the fiscal year ended April 30, 2019 and its current and quarterly reports furnished to or filed with the Securities and Exchange Commission on Forms 8-K and 10-Q. Participating on this call this morning are Jeff Williams, the company's President and Chief Executive Officer and Vickie Judy Chief Financial Officer. And now I'd like to turn the call over to the company's Chief Executive Officer, Jeff Williams.
Jeff Williams: Okay. Well thank you for joining us this morning. It is good to see us pick up market share and serve more customers with our continuing efforts to leverage our existing footprint with the many talented, smart and hardworking associates that we have at all levels in our company. We will continue to invest in our business and especially in our people as we move forward to provide outstanding advancement opportunities for our hardworking associates. Our general managers and their staffs are really upping our game in the field by focusing on the customer experience starting with a vehicle and then by providing outstanding service after the sale to keep our customers on the road a peace of mind that only Car-Mart can give. Our vision is to be America's best auto sales and finance company in the eyes of our associates and customers, while improving the communities we serve. There is tremendous demand for our offering and we have an obligation to serve more customers at the highest levels because we believe that their lives are better when they're part of our Car-Mart family. I'll now turn it over to Vickie to go over some numbers. Vickie?
Vickie Judy: Good morning. We were pleased to see a revenue increase of 15.9% up to $187 million. This resulted from a 16.8% increase in sales of 11% increased volumes and 5% average sales price increase. We also had a 10.5% increase in interest income. And we're very happy to see same-store revenues up 15.1%. Revenues from stores in over 10 years of age category was up 14%. Stores in the 5- to 10-year category was up 19% and revenues for stores in the less than five years of age category was up about 47% to about $17 million. At quarter-end 18% or 12% of our dealerships were from 0 to 5 years old 41 or 28% were from 5 to 10 years old and the remaining 86 were 10 years old or older. Our overall productivity was 30.6 units per lot per month, up almost 10% from 27.9 compared to the prior year quarter. Our 10-year-plus lots produced 33.1 units per month per lot for the quarter compared to 30.4 for the prior year quarter. Lots in the 5- to 10-year category produced 28.6 compared to 26.9. And the lots less than 5 years of age had productivity of 23.4 compared to 20.7 for the third quarter of last year. Our down payment percentage was basically flat compared to the prior year quarter. And collections as a percentage of average finance receivables was flat at 13.2%, but up on a relative basis due to the increase in term. Our term increase was primarily due to the increasing average selling price of the car. The average originating contract term for the quarter was 30.8 months compared to 29.4 for the prior year quarter and up from 30.4 per month sequentially. The average selling price was up $604 with 1.4 month increase in the term. Our weighted average contract term for the entire portfolio including modifications was 32.5 months compared to 32 months for the prior year. And the weighted average age of the portfolio was flat at nine months. Interest income increased $2.2 million or 10.5% compared to the prior year, primarily due to $55.9 million increase in finance receivables -- the 10.4% increase. The weighted average interest rate for all finance receivables at the end of the quarter was approximately 16.4% flat from the prior year quarter. Gross profit per retail unit sold increased by $84 to $4,938, a 1.7% increase compared to the prior year quarter. The gross profit percentage was 40.3% compared to 41.5% for the prior year quarter and down just slightly from the sequential quarter. Again, the average selling price increased $604 over the prior year quarter and gross margin percentages are lower at higher selling prices. The majority of this selling price increase relates to the overall strength of the used car values in our market and a continuing effort to buy high-quality vehicle. We did see a slight increase in the number of SUVs sold over the prior year quarter. We have increased our quality and our selection of vehicles to meet customers' needs during the upcoming tax refund season with an additional $6 million investment in inventory most of which relates to increased quantities. With these increased investments in inventory both volume and quality it's essential that we stay very efficient in our operational processes. SG&A for the quarter was up $3.8 million, 18.66% of sales compared to 18.9% for the prior year quarter and 61.9% of total revenues less cost of sales and provision for credit losses compared to 60.5% for the prior year quarter. Most of the increase is due to payroll costs for additional associate count as well as continued investments in pay benefits and training. The current quarter did have approximately $357,000 of additional stock compensation expense compared to the prior year quarter. These investments are being made to ensure that we can service a growing customer base at the highest level and earn their repeat business. We believe the investments that we're making in our associates, our system and the infrastructure are essential to continuing operational improvements and being prepared to take care of our customers. We added over 5,100 customers since this time last year and over 1,300 this quarter. We'll always continue to stay focused on efficiencies and cost control while continuing to invest for the long-term. For the current quarter net charge-offs as a percentage of average finance receivables was 5.9% down from 6.2% in the prior year third quarter. We continue to see improvement in both the frequency and the severity of losses compared to the prior year as a result of a higher quality vehicle, improved deal structures and our focus on the operational non-negotiables related to collection. Recovery rates for the quarter were slightly lower than the third quarter of 2019 and approximately flat compared to the sequential quarter. Our effective income tax rate was 19% for the third quarter compared to 23.7% for the prior year quarter. The income tax expense did include an income tax benefit of $922,000 and $41,000 related to share-based compensation for the current quarter and the prior year quarter, respectively or about $0.13 per diluted share. We expect our base effective tax rate to be approximately 24% going forward prior to any excess tax benefits from stock option exercises. At quarter end, our total debt was approximately $184 million and we had over $56 million in additional availability under our revolving credit facilities. Our debt-to-equity ratio is 63.2%. And our debt-to-finance receivables ratio is 30.3% and this was compared to 31.4% at this time last year here. We did repurchase 12,384 shares of our company during the quarter for $1.1 million at an average of $91 per share. Since 2010, we've repurchased approximately 54% of the company for $240 million at an average price of $38 per share. We continue to have very strong cash flows. For the first nine months, we've added $64.2 million in finance receivables, repurchased $15.8 million of common stock, funded $3.2 million in net capital expenditures and increased inventory by $16.5 million, a total of $99.7 million with only a $31.3 million increase in debt. Thank you and I'll turn it back to Jeff now.
Jeff Williams: Okay. Thank you, Vickie. As you saw in the press release, we are close to finishing our Taylor Motors acquisition and we'll be opening our Cabot, Arkansas dealership during the fourth quarter. This will give us six new dealerships for fiscal 2020. We are progressing on our new dealership locations in Edmond, Oklahoma and in Chattanooga, Tennessee. And we recently signed a lease for a new location in Norman, Oklahoma. New dealership openings will be part of our growth plan going forward and we're also open to other opportunities, like the Taylor Motors opportunity, as we move forward. As we've said over the last few years, most of our existing general managers have the ability and are in towns and locations that have the potential to serve 1,000 customers or more over time. We will continue to look to leverage that opportunity. We have such a strong culture and our associates give 100% every day to help each other and to help our customers succeed. There is real purpose in our work and we're very proud of the difference we're making and we're very excited to be in a position to expand what we do to more customers. And lastly, thank you to all of our hardworking, passionate associates who come to work every day to make a difference. You make Car-Mart great and thank you. We will now open it up for questions. Operator?
Operator: Thank you. At this time, participants will now answer questions from the callers. I would like to reiterate that my earlier comments regarding forward-looking statements apply, both to the participants' prepared remarks and to anything that may come up during the Q&A. [Operator Instructions] Our first question in comes from the line of John Murphy with Bank of America. Your line is open.
Yarden Amsalem: Good morning, guys. This is Yarden Amsalem for John.
Vickie Judy: Good morning.
Yarden Amsalem: So, first question -- good morning -- on your top line what would you attribute the very strong same-store sales increase to? I mean, can you maybe point to the key one or two factors? And would you say it was more driven by our newest store or they are more legacy stores?
Jeff Williams: I would say it's a combination of things. It starts with inventory. We're doing a better job with inventory procurement. We're carrying more cars better quality cars. We've also spent a lot of time training our field sales reps. So it's an investment in training, its inventory. Our digital efforts online are also contributing to the sales improvements. And I would say, it's pretty much across the board as far as volume improvements and productivity improvements. All of our dealerships are seeing more traffic, more interest and we're closing more sales.
Yarden Amsalem: Thank you. So, just to follow-up on that, you've recently talked about your investment in digital platform and online capabilities and marketing. Can you maybe share more color on these efforts and what kind of traction are you getting from your consumers?
Jeff Williams: Well, we've had our online credit application in place, just beginning this fiscal year. And we're getting a lot of traffic online. We're getting a lot of applications online. And we're doing a fair job of converting those applications to physical visits to the dealerships. And then, the close rate for those sales is pretty high. So we're really fairly new into that effort at this point, but we're optimistic that over time we're going to be -- we're good now, but we're going to get better, as far as our digital efforts. But they certainly have increased our traffic and we've seen some good results so far.
Vickie Judy: We've also just tried to have a bigger and a better presence on just several of the social media channels with customer reviews and customer testimonials. And, I think, some of that Google reviews and that type of thing. And I think that's helped some as well.
Yarden Amsalem: Excellent. Thank you. And I guess lastly, how should we think about gross margins for the new vehicles going forward? I know like the deterioration of this is partly driven by higher average selling prices. But I'm just curious to hear if you guys think it should keep coming under pressure next year? Or maybe can you ever go back towards the 42% level?
Vickie Judy: Yeah. The 42% level probably becomes a bit of a challenge. I don't think we'll see that big of a change to get back to that percentage with the used vehicle market where it's at especially with the quality that we're trying to carry and the increased demand for the SUVs and trucks there also. So, I think there'll continue to be some pressure there. I think there will continue to be some pressure there as we try to expand our customer experience and step into some different areas there. So...
Jeff Williams: We do have some room to continue to look at productivity improvements and efficiencies in the field in the repair cost. There are things that we're working on to maintain those gross profit percentages. But the dollar gross margin is going up, but the percentage is a little more of a challenge. But we know that, and we're trying to do all we can to keep that gross margin percentage up.
Yarden Amsalem: Yeah. Okay. Thank you very much. That’s it for me.
Jeff Williams: Thank you.
Operator: Thank you. And our next question comes from the line of Kyle Joseph with Jefferies. Your line is open.
Kyle Joseph: Hey. Good morning, guys, and thanks for taking my question.
Vickie Judy: Good morning, Kyle.
Kyle Joseph: I just wanted to pick your brain on the competitive environment. Obviously given your same-store sales trends we can kind of surmise, what's going on in the competitive environment. Just -- but just wanted to hear what you guys are seeing there.
Vickie Judy: Competition is still very strong. I don't think that we've seen any decrease there. But what we're trying to do is make sure we've got the quality vehicle. And then we're trying to stress our value, and what we offer compared to our competitors out there. Just trying to get better in what we're doing.
Jeff Williams: Yeah. And we do emphasize our lower interest rate, our shorter term, the total cost of ownership with Car-Mart, and then the peace of mind that's so important to the quality of lives of our customers. When you put all that together, what we offer is superior to other offerings in the market. But there are a lot of other offerings in the market and competition is very high. But we're doing good in a market just, because of our efforts to really block and tackle run the play and treat these customers at the highest level.
Kyle Joseph: Got it. And then given that we're in February now, could you guys give us a sense for expectations for tax refunds this year in terms of size and timing?
Vickie Judy: Yeah. So the timing has been pushed back a little bit again this year. Refunds actually haven't started -- been released yet. So, it will probably all going to happen here in just a very short period of time.
Kyle Joseph: Got it. Okay. And then just lastly in terms of credit obviously things have been stable in terms of your down payments and collections. But going forward with the revamped growth here, can you give us kind of your outlook for both charge-offs as well as the provision going forward, and any impact the sort of renewed new growth would have there?
Vickie Judy: Yeah. So, of course with the increased selling price and the term going out a little bit, the severity becomes a little bit stressed when you do take something back, and then if process change in your FMVs and that puts some pressure there as well. So, we're going to be focused on the customer experience and making sure that we keep our frequency of the units that we're repossessing down and that we're taking care of all of those customers. But there will certainly be some pressure from the severity side as we move forward.
Jeff Williams: But we are convinced that we're putting a better product out higher quality car and that our service levels have improved immensely and our collections efforts are solid and strong. And we expect continuing good improvements that results in the credit loss line as we go forward even with the increased volumes.
Vickie Judy: Yes, our underwriting is very solid. We feel like, we've kept a good handle on our underwriting there.
Kyle Joseph: Got it. That’s it for me. Thanks very much for answer my questions.
Jeff Williams: Thank you.
Operator: Thank you. And our next question comes from Vincent Caintic with Stephens. Your line is open.
Vincent Caintic: Thank you. Good morning. I wanted to touch on two things. So, following up on Kyle's question on the competition. Just we've heard from some other lenders like for example Credit Acceptance who are kind of facing maybe difficulties from the competitive environment, but nice to see that you've been growing quite well. When you've -- I guess your growth has it been -- have you seen market share that you're taking? Is it more of kind of just addressing customers that weren't served before? Sort of what's the environment there in terms of maybe addressing new opportunities versus taking share?
Jeff Williams: I just -- I think we've done a good job again with our digital efforts as Vickie mentioned in the -- on the advertising side and in the brand reputation and the community involvement. And then, when you combine that with more cars and a broader mix of cars and nicer cars on the dealership and then you educate our associates and the communities on the true cost of ownership, our transaction looks more and more appealing to customers that have choices in the market. And what's nice about our model is we've added about three units per month on the sales side. And so it's -- in each community, it's hard to know exactly where those three units of market share came from. But I think, it's a combination of all the good things we're doing. And we're convinced that we have more room to educate the market about the true value proposition that we put out there and the peace of mind we give customers in helping them keep those cars on the road. So, it's a combination of things. But the market is very competitive, but I think the good work that we're doing is obviously more than offsetting the competitive pressures.
Vincent Caintic: Okay, great. Used car prices, what are you seeing there? Have you been getting some benefit there? Or is it -- are you still seeing some pressure from higher used car prices? Thank you.
Vickie Judy: It's -- there's really been not a lot of change recently. We're trying to expand some of the markets that we're buying in and looking at different purchasing options. But we really haven't seen a big change in the cost of the cars we're buying. This time a car around -- or this time of the year around tax time is generally higher anyway, but not a big change.
Vincent Caintic: Okay. And maybe just one more from me. The initiative for keeping cars on the road just kind of wondering how that rollout has gone and if there's more work that needs to be done or any more investments that need to be done. Thank you.
Jeff Williams: We continue to look for creative value-added ways to help our customers stay on the road and keep those cars in good operating shape. So, we continue to work on things that are going to set us apart from the competition even more than we have already. And anything that we come up with will be directed at that consumer, helping that consumer out, keeping them in the car, keeping their car on the road. And we feel like we've got to the room to continue to look for creative ways to improve our already outstanding offer.
Vincent Caintic : Okay, great. Thanks very much.
Jeff Williams: Thank you.
Operator: Thank you. [Operator Instructions] Our next question comes from John Rowan with Janney. Your line is open.
John Rowan: Good morning.
Vickie Judy: Good morning.
John Rowan: Vickie you mentioned increased loss severity a couple of questions ago. I didn't get down why there's increased loss severity. Is that just around used car pricing pushing up your -- the cost of the cars or is it a duration issue? What's driving that?
Vickie Judy: Yeah. So currently we are still seeing a decrease in the severity. So we -- quarter-over-quarter here recently, we've seen decreases in both frequency and severity. But as we look forward and our selling price continues to rise or we sell more of these higher quality or the mix of SUVs and more and if that sales price continues to rise that does put pressure on that severity.
John Rowan: Okay. And then you also talked about tax refund season. And I guess just to dig in a little bit more, we've obviously seen some of the initial data coming out of the IRS. But I mean last year there was a policy shift around earned income tax credit and the additional child care tax credits that really pushed around significantly the timing of tax refunds. Are you aware of any similar change in IRS policy that would have a structural shift in the timing of certain large tax refund cohorts similar to what happened last year?
Vickie Judy: No -- and our customers were largely unaffected last year too. I mean, they actually got back a little more last year and we're expecting about the same type of refunds this year as they got last year. So no real changes this year other than just the timing has been pushed out a little bit.
John Rowan: Okay. Thank you.
Jeff Williams: Thank you.
Operator: Thank you. And I'm not showing any further questions at this time.
Jeff Williams: Okay. Well, thank you for listening in again. Thank you for your interest in America's Car-Mart, and have a great day. Thank you.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for your participation. You may now disconnect.